Andrew Philip Witty: Thank you very much, and thank you for joining us for this afternoon's call. I'm here with Simon Dingemans, who'll pick up on the detail of the quarter in just a few minutes. We'll make a few introductory comments. You will have seen from the quarter release that in the third quarter, turnover was down 3%, earnings per share up 5%, bringing year-to-date earnings per share to minus 2 at constant exchange rates. Clearly, the quarter helped by targeted expense reductions. We're on track for full year EPS to be broadly similar to last year at CER, excluding divestments. During the quarter, strong Emerging Markets, Japan and ViiV HIV growth, offset to some degree by the continued trend in the U.S. Just turning to the U.S. The trend we're seeing is driven by the impact on pricing of Advair and access limitations becoming more common in delaying product uptake in primary care. Pricing. The pricing effect has been a bit greater than we expected earlier in the year, driven by market changes and competitive dynamics. It does feel like a new reality in U.S. primary care, and as we look across other product launches and other product categories, Breo and Anoro launches benchmark well, but all launches appear to be, in primary care, much slower. Now obviously, this has had impact for us in 2014, but we've adjusted quickly to the situation, both in terms of how we're contracting and also in management of our SG&A line. We now have very good visibility for 2015, as we have signed the majority of contracts and won substantial access for Advair, Breo and Anoro, with the substantial majority of top plans already secured. In some cases, with exclusive positions for some of our products, i.e. with the beneficiary of class lockout contracts, whereas June 2014, we've been the victim of class lockout contracts. During 2015, we'd expect to see the price effect flow through from 2014. We expect a continued to decline of Advair as a result, but we also expect an acceleration of Breo and Anoro as access increases and heavy free trial offers begin to come to an end. We also expect to see Advair volumes increase as the product regains coverage on key formularies. Globally, we expect total Respiratory to return to growth in 2016 and remain confident in our long-term market leadership ambition. The Novartis transaction is the other major event of 2014 and is on track for completion in the first half of next year. I'll remind you that the deal will realize $16 billion of proceeds as we sell the Oncology business. I'll remind you also that 7 years ago, we essentially had almost 0 sales in Oncology. The whole business built from the pipeline that we've delivered during that period. The $16 billion will fund the full GBP 1 billion B-share scheme during 2015 for our shareholders. The deal will also fundamentally reshape the company as immediately, the largest sales base will be around 40% exposed to high annuity businesses of Vaccine and Consumer and will benefit from the higher terminal growth rates you'd expect from those 2 businesses. This provides new opportunities for sustainable sales and earnings flows. The deal will ensure market leadership and true global scale for both Vaccine and Consumer and will allow us for the first time to appropriately report on these businesses alongside the RX business. We're taking this moment to change the executive management structure of the group to ensure focus in senior leadership of the 3 commercial businesses going forward. With Moncef Slaoui moving to take overall leadership of our Vaccine business. Obviously, a highly accomplished vaccine expert and will work with our current management team there to integrate the Novartis business, a highly complex piece of work and the right person to lead it. Abbas Hussain, who's been running our International Pharmaceutical business will now take up a new role as Head of Global Pharmaceuticals and will take the U.S. into his portfolio working with Diedre. And Emma Walmsley, who joined us a few years ago from L'Oreal will lead the Consumer Healthcare joint venture. As a result of Moncef's focus, Patrick Vallance will become head of Pharma R&D. These changes put some of the industry's most experienced leaders in our enterprise leadership positions, and will be responsible for implementing the transaction in Vaccine and Consumer and delivering the portfolio transformation in Pharma. Turning to Pharma, specifically. After the unprecedented number of new drugs and vaccines approved over the last few years, we have 3 points of focus on opportunity going forward. Firstly, the continued rollout and launch of the Respiratory HIV, diabetes and until the close of the transaction on oncology new medicines. In fact, in 2015 alone, we expect around 250 discrete pipeline product launches around the world, so each camp being one new pipeline product in one new market. Second, we intend to bring forward the next wave of products with around 40 new molecular entities in late development and a very exciting portfolio now emerging from our DPUs, with mostly first-in-class potential therapies in areas such as cancer, heart failure, Respiratory, inflammatory and autoimmune disease. Third, to focus and scale our RX operations for the change in pricing dynamics we see and for the movement of oncology to Novartis, and to ensure that research and development has the right level of flexible resource to further deliver the next waves of innovation. We're announcing today, therefore, a new restructuring program in addition to the announced Novartis-related program, which will reshape our Pharma business and release GBP 1 billion of annual cost savings, and ensure we have moved resources to our current and next waves of new products. In line with my long-term belief in passing value into the hands of shareholders, we have, over the last 6 years, repeatedly identified and created opportunities to build and crystallize value. Through dividends, special dividends, share buybacks or the Plan B scheme has sought to return this value to our shareholders and are focused on organic drivers of growth rather than engage in high-premium acquisitions. Since I became CEO, we have returned GBP 33 billion to shareholders through dividends and share buybacks. Clearly, our ongoing established product portfolio process, which we aim to bring to conclusion around the turn of the year and the oncology value creation are clear and current examples of this approach. Five years ago, I created a JV in our HIV therapy area, at a time when GSK was suffering substantial competitive and generic pressure and risk. ViiV has been an extraordinary success story and has now established -- establishing itself as an innovative and fast-growing specialty business. Our new dolutegravir-based medicines have already sold over GBP 170 million this year, with significant further pipeline opportunities already advancing. We have a very high belief in ViiV's prospects. In line with our commitment to identifying ways to realize shareholder value, we have announced today that we are beginning the process to explore possible IPO of a minority stake in this business. On dividend, for the quarter, we have maintained a dividend of 19p, and we expect the full year 2014 dividend to grow 3% to 80p. We've also provided guidance today for shareholders out for 2015. We expect to maintain the dividend of the same level as 2014. This will provide us with flexibility as we restructure and integrate the Novartis businesses next year. Despite the challenges that the U.S. Respiratory market has brought during 2014, the Novartis transaction, the reshape of the Pharma business and the substantial R&D progress, marked major steps forward in our long-term strategy. The potential to IPO minority stake in ViiV further signals, alongside our oncology transaction, a patient but enduring commitment to explore avenues to create shareholder value while delivering our global mission to improve lives around the world. To the point of our mission, I would be remiss not to acknowledge the many GSK employees who are working tirelessly on our candidate Ebola vaccine. Given the apparent health emergency, we are leaving no stone unturned in this project. And if all goes well, I fully expect GSK to be the first company in a position to make a vaccine available to health agencies and governments hopefully, toward the end of 2014. This, in the same year, that GSK filed for approval for the world's first vaccine against malaria. With that, I'll close my comments and ask Simon to give you a more detailed review of the quarter.
Simon Dingemans: Thanks, Andrew. The group's performance in the quarter reflected many of the same factors we saw at the half year, and in particular, the transition of our Respiratory portfolio continued to impact Respiratory revenues, down 8% overall in the quarter driven primarily by the continuing shift in contracting terms for Advair in the U.S. Significant further price reductions have been required to renew or regain a number of key contracts for Advair. And while most of these contracts did not deliver improved access until the beginning of 2015, they've generally started to impact pricing immediately, driving the increase pricing pressure we've seen in the quarter. The quarter also saw continued competition for Lovaza and the ongoing impact of supply on our Consumer business, despite the significant progress we've made in remediating these issues. On the positive side, we also saw in the quarter more of the strong progress in many other parts of the business that we saw earlier in the year, reinforcing the broad base of growth drivers we're building across the group. In particular, emerging markets, Japan, ViiV, all reported significant growth in Q3. New products are also contributing and we continue to invest behind our multiple new launches as we extend their approval and access globally. And even though it's still early days for many of these, sales from new products, year-to-date, were over GBP 900 million. In ViiV, Tivicay's launch has been exceptional. And now Triumeq approved in August is already off to a good start. In Oncology, Mekinist and Tafinlar are also performing very strongly. In Respiratory, Breo and Anoro are both clearly on a slower trajectory, but coverage and access is steadily improving with Breo Part D coverage now over 70% and Anoro also building with Part D coverage expected to be over 50% through October. Transitioning the Respiratory business and growing our other new products to critical mass will take time. But the additional flexibility we've built into our cost base in recent years means we can respond much more effectively and quickly to extract cost savings that can help in mitigating the pressure from lower sales in the U.S. in the short term, while also protecting our investments behind the new launches. Demonstrating this SG&A in the quarter was down 6%, which along with ongoing on financial efficiencies contributed to EPS up 5% on a 3% decline in revenue. Given the new pricing dynamic we're experiencing particularly in the U.S., we've announced today a new initiative that will further strengthen the flexibility and profitability of our Pharmaceutical business, predominately through a restructuring of commercial operations, R&D and support functions. The restructuring will also scale the Pharma business to an appropriate size, post the transaction with Novartis. We expect to deliver savings from this new program of approximately GBP 1 billion pretax annually by 2017, with around half delivered in 2016. Initial savings from this new restructuring in 2015 will be relatively smaller, but will help us offset some of the earnings impact of declining sales of Advair, as our Respiratory business continues its portfolio shift. To be clear, these savings will be incremental to the GBP 1 billion of annual cost savings we're delivering from the Major Change program that we announced in February 2013, and we're well on track here and consistent with our earlier OE program, we're ahead of our plans on delivery of benefits. The new savings are also on top of and separate to, the GBP 1 billion of annual cost savings -- cost synergies we expect to realize from the proposed Novartis transaction. We're making excellent progress towards completing that transaction and we still expect to close it in the first half of 2015. So turning to the quarter in a bit more detail. As usual, my comments around the CER and x divestment basis. In the U.S., Pharma and Vaccines were down 10% in the quarter. This particularly reflects the 25% reduction in Advair sales. Total Advair volume was down 10% with price down 15%, reflecting the new contracting conditions I mentioned earlier. Price pressure was a bit higher than we'd expected and it has helped us secure a number of important contract wins for 2015, not only for Advair but also for our new products. You should expect a similar dynamic in Q4, but remember also that Q4 last year saw quite strong inventory build in Respiratory. Despite the improvements to formulary for Advair for next year, you should still expect the Advair revenues in the U.S. to continue to decline in line with recent trends, as the full year effect of contracts and pricing agreed during 2014 rolls through into 2015. But also, as we continue the shift to our new portfolio, that we expect will allow us to grow total global Respiratory sales again in 2016. Elsewhere in the U.S. Oncology sales continue to contribute very strongly at 44% in the quarter. Good growth across that portfolio, both particular contributions from Votrient and the recently launched Tafinlar and Mekinist products. Benlysta also continue to contribute with reported growth of 10%, but 19% on an underlying basis. Vaccines were down 3% in the quarter reflecting the impact of a broader return to the markets of vaccines that compete with our Pediarix vaccines and Boostrix. And hepatitis sales also saw some supply constraints. As we mentioned last quarter, flu supplies have been delayed somewhat and we're expecting a greater proportion of deliveries in Q4 than usual. In Europe, Pharma and Vaccines sales down 2%, growth from Oncology, in Avodart in particular, helped mitigate lower Respiratory sales. Seretide was down 5% mainly on price with volumes relatively steady reflecting the continuing benefit of our recent refocusing of the European business. We're also making encouraging progress and obtaining access in a number of key markets in Europe for our new product, although pricing remains challenging. Nonetheless, we are now much better placed to manage the transition to our portfolio over the next few years in Europe as competition to Seretide increases. In emerging markets, total sales of Pharma and Vaccine grew 12% with strong growth in virtually every therapy area boosted by the improved growth in the China business as the impact to the government investigation annualized. Vaccines grew 13% with a number of products benefiting from the phasing of tenders, particularly Synflorix and Boostrix. For the fourth quarter, Vaccines sales have a tough comparator and phasing of tenders has also been somewhat earlier in the year during 2014 than previous years. Both factors will impact Vaccines and Emerging Market sales in the fourth quarter. In Japan, despite some softening of the markets, sales were up by 6%, helped by restocking of Avodart and the strong performance in Vaccines. Respiratory sales growth mainly reflected seasonal products. Altogether, though, Adoair and Relvar sales were broadly flat, with Relvar sales still limited by the 2-week Ryotan limitation for new products until the end of November. ViiV grew 18% to GBP 373 million in Q3 on the back of a very successful launch of Tivicay, but also continuing strong sales of Epzicom, which benefited from combination sales ahead of Triumeq, which is launched during the quarter in Europe and in U.S. Tivicay sales were GBP 78 million in the quarter. Turning to Consumer. The business was down 3% in Q3 as sales continue to be impacted by supply disruptions. We're making progress with the remediation of those issues. And even though we do not expect the business to be back in full supply before the end of this year, we continue to expect Consumer to be broadly flat at the top line for 2014 as a whole. On operating costs, excluding currency, the operating margin improved 0.6 percentage points. In particular, SG&A costs were down 6% on a very targeted response to the top line performance. In the quarter, we also had an expected credit of just over GBP 200 million from simplifying our entity structure and trading arrangements. Remember, this broadly matches the structural benefit to SG&A we reported in Q3 last year, so is not a factor in the year-on-year decline. R&D was down 1% despite the headwind of around GBP 50 million of structural benefits included in R&D in Q3 last year, and the reduction really reflecting the completion of a number of trials and ongoing cost management. Cost of goods remains under some upward pressure given the pricing environment and the new launch investments, but we continue to target savings here to mitigate that trend, and the Major Change program underway is already contributing significantly to reduce manufacturing costs. On the financial side. We delivered further efficiencies in the bottom half of the P&L, with interest down from GBP 178 million last year to GBP 161 million in Q3 2014, reflecting the improved funding position. And our effective tax rate was also down 3.5 percentage points from Q3 last year to this quarter, delivering a 21.2% overall year-to-date. We now expect the full year core tax rate will be somewhat less than the 22% we originally indicated, but the ultimate rate will depend on the final mix of trading for the fourth quarter. Net cash flow from operations in the third quarter is GBP 1.6 billion, excluding legal payments, down GBP 300 million from last year. Cash flows continue to be significantly impacted by FX, with approximately GBP 100 million of the decline due to negative currency and divestment impact, the balance mainly due to the operating performance. Working capital has also taken cash investments, particularly inventory. Inventory days are likely to remain higher this year than last, as we put inventory behind new launches and ensure the full recovery of consumer supply. Net debt at the end of the quarter was GBP 14.8 billion, GBP 300 million lower than a year ago, but GBP 2.2 billion higher than year-end 2013. With the increase due to a number of factors including the GBP 0.6 billion spent on increasing our shareholder in our Indian pharmaceutical company, the fine paid to China and the small amount of share buybacks we completed earlier in the year. The balance is mainly due to reduced cash from operations and the impact of divestments and a significant negative headwind from currency over the 9 months of around GBP 560 million. Given the significant currency swings we are dealing with, it's important that we protect the dividend, which we continue to prioritize essential to our strategy of delivering returns to shareholders. And as Andrew said, as a result, we've decided to maintain the dividend for the next 2 quarters to target a total dividend for this year of 80p, an increase of 3% over last year. We've also announced today that we intend to hold the 2015 dividend of the same 80p level to improve our financial flexibility and the support for the dividend while we go through the Novartis integration, which will also deliver a return of GBP 4 billion to shareholders after closing which, as I have said before, is expected sometime in the first half of 2015. And looking ahead, finally, to the full year. Consistent with the guidance we gave at the half year, we continue to expect full year core EPS to be broadly similar to 2013 on a CER basis x divestments. And with that, I'll turn it back to Andrew.
Andrew Philip Witty: Thanks, Simon. And perhaps, the operator could now open the call for questions.
Operator: [Operator Instructions] The first question is from the line of Graham Parry, Bank of America Merrill Lynch.
Graham Parry - BofA Merrill Lynch, Research Division: I'll start off with one on margins. Obviously, an impressive looking margin in the quarter with a much lower SG&A than The Street was looking for. Could you just talk to, say, the sustainability of that level of margin? And particularly, how much of that was coming from FX versus savings? A related question, looking into 2015, if you can just talk through what [ph] you see the moving margin parts into next year and the outlook for margins into the -- into 2015. Secondly, do you have any line of sight on structural benefits into next year versus the GBP 200 million that you put through this year? And then on the ViiV IPO, could you give any kind of sense of timing and how much a minority stake would be? And do you need any consent from Pfizer and Shionogi? And then finally, on Anoro. Again, numbers are looking quite low here. Could you just give us a sense, again, of how much of your prescriptions are getting rejected at the pharmacy level and also the level of free sampling that's happening in the market here? So aside from the GBP 1 million that you reported, how much do you think it would be underlying if we stripped out wholesaler effects and promotional effects?
Andrew Philip Witty: Okay. Graham, I'll touch on the ViiV and the Anoro question, and then Simon will pick up the 3 or 4 margin questions that you covered. So as far as ViiV is concerned, we haven't -- or we're not publicly declaring what we think the quantum of the flow could be. Obviously, we made it clear it's a minority. As you know, we own almost 80% of the business, so we have a reasonably large amount of room for maneuver which would leave a substantial quantum still under GSK. So we'll work on that over the next -- I would think this process is a year. I would have thought -- I'd be surprised -- I think for your modeling perspective, I would assume to keep ViiV as it is within GSK for 2015. I think this is more likely a '16 -- or subject to market conditions, it's more likely a '16 event than a '15 event because of all the work that needs to happen. We'll, obviously, work with our partners on this. They may or may not choose to participate in that, we'll see. As far as Anoro is concerned. So about 1/3 to 40% of scripts are still being rejected. Anoro access in Part D has just moved up significantly. So the end of this week, we'll be at 50%. But up until this week we're still being at the kind of 30% territory. So again we're building the access reasonably quickly by any benchmark, but it's only just coming up to those sorts of level. So reasonably punchy numbers still being rejected or reversed the first thing to say. About -- between 1/3 and 40% of scripts are being filled with free trial offers, and I think that's one of the characteristics we're seeing of the U.S. I saw one of our competitor companies, in a completely different category, are offering 12 months free trial TV adverts for their new -- one of their new products in a different category. There's no question the free trial offer is more and more common. And between 1/3 and 40% of Anoro scripts are being filled with free trials. Part of the reason why you see 0 sales because we've made adjustments to our -- essentially, discounting assumption as we see what that trend looks like. And then just to -- also to give you a little sense, I think during the quarter we delivered 220,000 samples of Anoro, so -- which is obviously a very substantial quantum. So we see shares looking very encouraging. So if we're into -- if we look at new to brand prescription share which, in our view, is the best leading indicator, we're in double-digit territory of pulmonologist which, again, you'd expect to be the first adopters. So we're starting to see good pickup in terms of shares. You would expect to see that translate through into NRx's and ultimately, TRx's as you go into 2015. And obviously, as we get more access and more coverage, which particularly looks very positive from January onwards, then you'd expect to see the free trial offer start to drop off. So I think the underlying pickup looks okay, it's not as fast as we would have liked, but when we benchmarked Anoro and Breo -- Breo, we've got more data so let me talk about Breo. When we benchmark Breo to other primary care dominant launches from the last 2 years, it's looking -- actually, looks very good compared to other primary care launches. We're seeing the whole primary care marketplace slower, slower access, slower takeoff initially. But certainly, the leading shares for both Breo and Anoro look quite encouraging. And I'll pass over to Simon on the margin question.
Simon Dingemans: Okay. Thanks, Graham. On the margin, currency was clearly a factor in the quarterly performance. And I think, of the 1.6 percentage point increase in margin, around 1% of that is due to currency. And clearly, we have to see how that plays out in the fourth quarter, but it benefited all 3 of the major cost lines. I think in terms of the underlying performance, as I commented earlier, SG&A, we have very -- deliberately targeted in the quarter and you would expect some of those programs to continue to roll into Q4 and are really the precursors to some of the beginnings of the benefits of the restructuring program we have announced today that will flow into 2015 and beyond. As to the margin position in 2015, I think until we get to close the Novartis transaction and we have a full view of the combined group, I think it's a bit early to give guidance specifically in that territory other than to comment, again, that you should expect a significant reset of the margin as we change the mix of the groups so substantially on the closing of that transaction. And on structural benefits, we continue to look for similar opportunities. We haven't identified any particularly that I would call out for 2015 or beyond, but we do keep searching for value opportunities like that.
Operator: Next question is from the line of Alexandra Hauber from UBS.
Alexandra Hauber - UBS Investment Bank, Research Division: Firstly on -- when you're guiding to 2016 return to growth for the Respiratory franchise, now that, of course, depends on your 2015 decline. So I was wondering whether you can comment on where you see 2016 Respiratory relative to 2014. Is it up or down or roughly flat? Or is it just still too early to say because you don't know yourself how the trough is next year? And secondly, just coming back to SG&A this quarter and your cost cutting program, can you, Simon, maybe tell us a little bit more how on the one side, you have such a flexible cost structure, you can switch on and such off costs quite flexibly. So -- and on the other side, needing to spend GBP 1.5 billion for further cash in cash to get the extra savings. Just maybe -- essentially, I'm just trying to look where the flexibility this quarter is particularly coming from. And then third question, the changes on the management. Can we therefore assume that the new core is going to report according to a divisional structure? And if so, whether there -- what you're showing currently as unallocated costs will be the corporate costs. And also whether the materials which you will distribute ahead of the ECM will give us a first indication of those divisional structure.
Andrew Philip Witty: Okay. Thanks, Alexandra. So Simon will pick up on the divisional points. As far as Respiratory in 2016, we expect to be back to growth. Obviously, exactly how '15 plays out is going to be the put and take of how quickly we can recover volume. I'll give you an idea. We've won 7 -- so far, we've run 7 of the top 10 contracts in the U.S., some of those we've got class lockouts in place that should help us drive volume. But exactly what the pace of that vis-à-vis the price is, of course, not completely clear. As a general point, we feel very confident as we move through '15 into '16, '17, your balance of what's driving the growth in the business becomes much more important, and that's why we've made the point we've made. As far as SG&A is concerned, I think in the short run, we clearly have a lot of discretionary spend decisions around non-people-driven costs in the business and we can flex those in different parts of the organization. Obviously, as soon as we started to see kind of in the middle of the year, late Q2, when we started to see things -- the price impact being greater than we anticipated. It gave us a chance to start to manage that. But when you look forward and you say, okay, now we need to adjust our cost base on a, let's call it, a more permanent basis to a newer reality in terms of price from the U.S., then you want to look at more structural things. That requires financing to release those opportunities, some markets more than others, of course. And we also want to take the opportunity not just to shrink the cost base, but to make sure we're taking the costs from parts of the organization where we believe we can. At the same time, create greater focus on where there is opportunity for growth and greater opportunity to simplify and take complexity out of the business. So again, unraveling all of that is oftentimes somewhat more expensive. So in the short run, yes, we've got a reasonable degree of cost flexibility, which we've taken advantage of. But because we want to make sure we have a cost base which is, in the long run, over it -- next year or the year after and the year after that, appropriate for where we think the price points have come to, then we need to do things a bit more significant. Simon?
Simon Dingemans: And I think just on the costs of the restructuring, I mean, the costs that we've indicated today are very much in line with the costs of previous restructurings on a cost-to-benefit ratio. There will be some element of the costs we've indicated that are probably noncash. Exactly how much, we still have to work through in terms of the detail and implementation. But I think the ratio is pretty consistent. I think, going forward, when we close the transaction which, I think, is really the right point to make a shift, we will begin to report much more distinctly Vaccines, Pharma and Consumer, so that you can clearly see the different profiles of those business -- their businesses, their different characteristics and look at them on a much more end-to-end basis. But we won't do that before we get there, and that seems like the right point.
Andrew Philip Witty: And we see, Alexandra, an opportunity, I think, as we now have 3 -- post-Novartis transaction, we'll have 3 businesses with real scale. It really gives us the chance to rethink and put pressure on our corporate costs and overhead costs, and to really use those 3 businesses to expose and leave only the absolute minimum of non-allocated costs. So clearly, if a business can't be allocated to cost, what's left should be at a minimum. It's much harder to do that when you've got an unbalanced group of businesses. What we're going to have here is 3 very, very clear global businesses. First order of business, beyond making them competitive in the marketplace, will be to use that structure to really shine a very acute spotlight on the costs which currently sit in the middle, if I can call it that. And I would expect that to be quite a story for us over the next 2 or 3 years as we use this shift to really ensure that we've got that level of costs really driven down. And actually, those costs are oftentimes some of the most tricky to get at, and this transaction is a very, very good opportunity to do it.
Operator: Next question is from the line of Andrew Baum from Citigroup.
Andrew S. Baum - Citigroup Inc, Research Division: Three questions, please. Firstly, Andrew, you've said that, historically, the pipeline is the best since you've been at the company. Now obviously, there's been some approval and some failures since then, but are you happy to make that same comment today? Second, and following on the first question, should we expect the intensification of assets to bolster your mid-stage pipeline in your remaining core therapeutic areas? And then finally, can you remind us when the corporate integrity agreement in the U.S. expires and whether you would use that opportunity to review your U.S. field force compensation structure relative to your peers?
Andrew Philip Witty: Thanks, Andrew. On the last, the CIA was a 5-year CIA. And I think, as of today, the short answer to your question is no. In terms of pipeline, I do stick to the view that this is the most impressive pipeline we've had. In terms of, as you say, a few approvals, we've had 11 approvals over the last 4 years. The next best company in the world has achieved 9. I think since I've taken over, we've had 17 approvals. So we've had a substantial amount of product flow. The majority of our current Oncology business has been approved in that time frame and taken a business, which had almost 0 sales or value to one that we've just sold for $16 billion. So I think that speaks for itself. And the assets, particularly dolutegravir assets are underpinning, clearly, the current growth of that business and lead us to conclude that it's appropriate to think about an IPO for that business which, again, is very direct consequence. And I think it's entirely, as a general comment, entirely consistent with what I laid out back in 2008, which is that we would deliver a wide variety of products, none of which necessarily would individually carry the company, but together as a portfolio would, over time, allow us to move forward the Pharma business. And I think we're still absolutely in that position. In addition to the 6 major products we had approved over the last 12 months, all of which were approved on first cycle review by the FDA and have now been approved in a variety of other countries, we have another 40 new molecular entities in Phase II and Phase III, and has a very substantial quantum of product. And as I indicated in the release today, we have then the beginnings now of products beginning to emerge from the DPUs. And I think end of 2014 and 2015 is going to be a very interesting period, as a whole wave of new products start to surface. And if you look within that, you see products in autoimmune disease, inflammatory disease, heart failure, Respiratory, cancer and others. As I look forward into the next 4 to 5 years, it's highly likely that 100% of GSK's discovery and development pipeline will be first-in-class products. And I think that's testament to the creativity that we've designed and built into the DPUs. And just as we are not really tempted to go off and spend high premiums to buy growth in the market, we're increasingly of the view that we don't want to get drawn into that in late-stage development either. So all of the analysis we look at, we think the best place to partner is early, not late. We feel we have a very full pipeline. We feel we have a lot of assets in that pipeline. And of course, with the acquisition of the Novartis Consumer and Vaccine businesses, that in itself, takes some pressure off the Pharma business in terms of creating a greater balance inside the company. A combination of all of that gives us a high degree of confidence that we're able to see the move to sustainable sales and earnings for the long run. And we will have a business, which is not dependent on one drug, but on many different medicines and vaccines. And we'll have a business which has a very high exposure to Consumer and Vaccine opportunities, which have high terminal growth rates. And therefore, will allow us to tolerate some of the Pharma ups and downs that you'd typically see.
Operator: Next question is from the line of Tim Anderson, Sanford Bernstein.
Timothy Anderson - Sanford C. Bernstein & Co., LLC., Research Division: A very high-level question, Andrew. Can you talk about how you view Glaxo's future over, say, the next 5 years? The consensus here has been pretty bearish on multiple fronts given what's happened in 2014. I guess what I'm trying to get at here is what else might change radically going forward if anything? You've announced new cost cuts, you've talked about the partial IPO of ViiV, that comes on top of the recent deal with Novartis. So I'm wondering if, perhaps, you now view Glaxo as being at a new steady state that looks good and sustainable from here without the need for many additional changes. And the second question is on ViiV, just a quick question. You reported operating margins of 66%, but I think that excludes certain costs like R&D. Can you give us what the fully loaded operating margin would be for ViiV?
Andrew Philip Witty: Okay. Thanks, Tim. So I'll just make a couple of comments on your first general question. If we went back a year-and-change, then actually GSK was trading its high share price since the formation of the company back in 2001. What's changed over that interim period is we've seen a reset of pricing in the U.S. on Respiratory, and we've seen a little slower launch of the 2 Respiratory products. Actually, the launch of the other products, the HIV product, the Oncology products, the Vaccine products, have all gone very well, with a slightly slower launch of the 2 Respiratory products. And that clearly has affected the way people think about the company. But that price reset now is in the system. The products are launching or launched, not just in the U.S. but around the world. And as I said earlier on the call, what really counts, which is the kind of leading-edge market share is starting to look pretty good, actually. And I remain of the view, and so does my organization, that we are going to deliver what we said we would, which is a broad portfolio of new Respiratory medicines, which are capable, in addition to whatever the legacy business of Advair and Flovent and Ventolin would be bigger than it ever was just as Advair. And the impending filing of mepolizumab will simply be another addition to that. So I -- so for me, 2014 is -- has been disappointing in terms of the impact of the U.S. pricing. But it's not been strategically -- hasn't, in my view, changed the strategic future of the company at all, first thing to say. Second thing to say, as a consequence, the decisions and the moves we've made during this year are absolutely in line with the strategy that I've outlined back in 2008. And I think we've stuck to very, very diligently, a strategy which is not dependent on M&A, not dependent on premium-driven M&A. It's a strategy which is focused on long-term R&D organic performance and I think all the evidence says that, that is delivering, both in terms of quantum innovation and ability to register and file -- sorry, file, register and launch of products. So that piece of it continues to be a major focus for us. Secondly, we've always made it clear we wanted to be strong in the Consumer, Vaccine and Pharma business, Novartis transaction creates that opportunity. And thirdly, I've been very clear, and probably maybe different to some other companies, I've been very clear that we will always be very pragmatic about how we create and return value to shareholders. I recognize in the sector that TSR is often measured through share price appreciation. And share price appreciation doesn't always reflect dividend payouts and the like. But if you look at the dividend quantum and the share buyback quantum that's being given to shareholders, GBP 33 billion in the last 6 years, driven in part by very thoughtful and objective decisions around which businesses we wanted to own or not own, I think you can see a very clear track record here. So you can look at whether it's tail businesses, whether it's the drinks Consumer business, whether it's the Oncology business right now or whether it's ViiV in the future, we are taking and we take, I believe, a very objective view around at what moment, if ever, does a business have the potential to create more value in a different structure or with a different ownership than the current structure. And I don't see us changing that mindset. Now as I look forward, I think that the synergies and the logic of the 3 businesses that we are building toward, post-Novartis, is very compelling. But we will always be asking ourselves that question, are there ways, are there parts of those businesses or even bit -- or whole bits of those businesses that would create more value in a different approach? Now what's key, obviously, is we need to get that transaction closed. We're on track to do that in the first half. There is tremendous synergy opportunity to then be extracted and -- then we move forward. And we'll see what the situation is at that point. But strategically, for me, 2014 has been a difficult year. It's a challenging year for the reasons I've outlined, but it has not been a strategically destabilizing year at all. And I'm confident in the strategy of the group. I recognize it's different to others, and I recognize that different people can have different views of it. But from where I sit, I think this is the right way to deliver super long-term shareholder value by having a very productive R&D operation, supplemented by businesses with high terminal growth rates. I think that's the right approach and it's one we stuck to and we'll continue to stick to. And Simon, do you want to comment on the ViiV margin?
Simon Dingemans: Yes. On ViiV, in terms of the margin, there is some R&D to be allocated. And clearly, if you were to think about this as a totally separate company, even though it is pretty separate, within GSK today, there are probably some additional overheads and costs that you have to allocate. So probably from a working assumption point of view, I'd assume a margin of 60-odd percent of the operating level. I think the other factor to remember is that there are clearly also a number of preferred elements in the returns that the different shareholders get from the different products in the portfolio. That structure will probably have to be simplified as part of this process. Exactly how that falls out, too early to say. But I think if you model it out on a 60% margin, you'll probably be, in, broadly, right place.
Operator: Vincent Meunier from Morgan Stanley.
Vincent Meunier - Morgan Stanley, Research Division: The first one is on ViiV Healthcare, a follow-up. Have you considered the pros and cons of selling the participation? Or maybe partnering ViiV with other companies instead of just making a partial IPO? And also can you already say what you will do with the cash from the IPO? Regarding the savings program, can you elaborate on the measures put in place in order to avoid the commercial disruption, particularly in the context of the SG&A cut in Q3? And regarding the Chinese situation, can you give an update on the DOJ investigation? What should we expect now in terms of the remaining steps?
Andrew Philip Witty: Thanks, Vincent. As far as the last question, nothing to say on that. So I've got -- no update for you there at all. As far as SG&A and avoiding disruption, I think, across GSK, we've got a pretty good experience of how to manage this. We are going to be very keen to protect those parts of the organization, which are very much on the frontline, if I can put it that way, of commercializing our products. And of course, those in R&D who are really touching the key assets as they come through the system. As we'd laid out, this is going to take place over the next 2 to 3 years. It's not going to be a kind of super dramatic Big Bang phenomena because we want to absolutely target these changes at the right moment to affect the business in the right way with minimum disruption. And I think, actually, we've got reasonable amount of experience with that. We've been through lots of changes over the years, and I think I've got high degree of confidence in it. I think our senior management, so the level underneath the executive management of the group, see this as a great opportunity to reshape the business in their bits of the group in a way which they want it to be for the future, because we know marketplace is changing all the time, customers are changing all the time and our portfolios have changed. And we need to, therefore, change accordingly. So what I'm very encouraged by is the reaction of our senior management, are very embracing of this as an opportunity. And that's always the first key thing. If the management see this as an opportunity rather than a task, then it will get done in a much more constructive, positive way. And I'm very optimistic about that. As far as ViiV is concerned, listen, we -- I'm sure we will be inundated with investment bank ideas of what we should or could do. We think the partial IPO or an IPO of a minority stake is a sensible vehicle for us to assess, gives the opportunity to create and crystallize value for shareholders, it gives an opportunity to valuation to be done properly, and it also gives us the opportunity for GSK resident shareholders to remain a significant shareholder in that going forward for as long as GSK holds a residual stake. So we think that serves a number of purposes. Obviously, if there were significantly more value creating scenarios, then we'll obviously going to look at them. But we think that's the right place to start. As far as how we might spend any proceeds, we'll cross that bridge when we get to it.
Operator: Next question, Dani Saurymper from Barclays.
Dani Saurymper - Barclays Capital, Research Division: Three questions, if I may. Just firstly on the new restructuring program that you've announced, the GBP 1 billion by 2017 time frame. Is that a net number or do you expect to reinvest some of those savings back into the business? Secondly, just -- I want you to confirm, there's some comments from the tape regarding the established products portfolio and your expectation that, more likely than not, the products will be divested. Just, in relation to it, I just wanted to understand if the cost savings program you have announced, whether there'd be any incremental savings you could anticipate from sale of the -- some of those EPP? You've alluded to in the past that there are significant scope for savings should you choose to go down that road. And then just lastly on Respiratory. I was curious to understand with regard to your 2016 return to growth comment, if you had any expectation within that of generic Advair launch. And then just very lastly, as regards to Anoro and also the commentary around a slow uptake, can you perhaps comment a, on whether you're seeing in the LAMA class in the U.S., a discounting by Boehringer Ingelheim's Spiriva in response to your launch, we've heard that? And then secondly, your experience thus far in Germany as you go up against Ultibro and how the launch is faring so far in Germany?
Andrew Philip Witty: Yes. Okay. Thanks very much. So as far as the GBP 1 billion cost savings, that will drop to the bottom line over the next 3 years so that's the net number. As far as the established product portfolio, what I said on the previous call was that, I think, it's more likely than not that we will sell some element of the established product portfolio. But I guided that it's unlikely we'd sell the whole thing. And so I think that the chances that some element of that portfolio attracts sufficiently high valuation to compensate for -- to compensate the shareholder properly. I think it's -- based on what I'm seeing, has a reasonable prospect. Now I can't guarantee it, so I'm not telling you we're absolutely going to do that. But some element I think it's reasonable to expect may end up going. There will be some savings associated, but they tend to be quite long-tail savings because they're associated with manufacture. And oftentimes, these transactions bring them a contract manufacturer period. So the savings may well come in after 3 years as you go through a typical transition period, so I wouldn't guide you to get excited about that. In the short run, it's more of a medium-term opportunity. And as far as return to growth in 2016, we anticipate -- or we do not anticipate a generic Advair before the end of 2016. So that probably answers your question. Again, we remain of the view, we've always had, which is this is not a trivial proposition for anybody. We think -- we don't know when or if it might ever come or what status it might ever have, but we certainly don't anticipate it in that time frame. And as far as Anoro is concerned, yes, aggressive contracting from all of our competitors, and I think we've also been aggressive in contracting this year. And so we have been very focused on making sure that we're not disadvantaged both on Advair, but also on the entry of new products. That's taken a bit of time. It's costs us some price points, clearly, but we've been successful in securing very substantial access. And at least, the part there has been other companies trying to close out the marketplace on the way through. So it's been -- that's really what's driven the dynamic of 2014, if I'm honest. And as far as Anoro in Germany, we're just literally starting, so nothing to report yet. So literally, just beginning.
Unknown Analyst: Two questions, if I may, please. First, Andrew, just on the dividend. If you can confirm that 2015 dividend at 80p would still be the case even if you were to go ahead and divest a part. How small or big of the established products portfolio? And secondly, that in the context of your long-term progressive dividend policy, 2015 is an exception i.e. post-2016, the progressive dividend policy still holds? Secondly, on the cost savings of GBP 1 billion, if you just help us think about kind of some details around that, where does it comes from in terms of SG&A? What is R&D? What is manufacturing over the next 3 years? And to your earlier comments on trying to take a final look at the central cost post the transaction, if you would care to kind of just give us some more color on the opportunity there.
Andrew Philip Witty: Thanks. So in the first point, yes, I wouldn't anticipate any decision on the EPP effect and the commitment we've made on the dividend for 2015. We do have a long-term commitment to increasing dividends for our shareholders. Obviously, we'll update you on 2016 and beyond when we get there, but we've very clearly restated our long-term commitment to increase the dividend. We're not going into detail today on the cost savings, but suffice it to say, it will be blended across different parts of the organization. But as always, you should expect SG&A savings, and to some degree R&D savings, to come at the front and the manufacturing savings to come at the back end. So in terms of phasing, you might see them in a slightly different way. But they'll be blended across the piece and central costs will certainly be a focus for us, particularly as we go through the transaction, as I've said already. I think the transaction gives us a very, very new lens to go after that over the next couple of years.
Operator: Next question is from the line of James Gordon, JPMorgan.
James D. Gordon - JP Morgan Chase & Co, Research Division: Two questions, please. First question is about the Novartis transaction and the 2015 outlook. My question was should we still anticipate accretion to 2015 EPS in the transaction, despite the margin dilution? And is there any prospect for EPS growth in 2015 which consensus currently models? Or should we take a flat dividend in 2015 as a reflection of where our earnings might be for 2015? And then the second question was just in terms of IPOs. If this makes sense as a way to monetize ViiV, could it also make sense to IPO part of the Consumer that you're going to have, as presumably you also think that's undervalued at the current level?
Andrew Philip Witty: Thanks so much, James. So the exact impact of Novartis on -- so as you remember, when we announced Novartis, it was that in the first full year, it would be marginally accretive. Of course, the real question is when is the first full year? So when exactly do we close? That's important because it determines how much of the Oncology business we have, for how long in the year. How much of the Vaccine Consumer business we have, for how long in the year. And also, it determines when the B-share scheme gets executed which, of course, has an effect on the EPS accretion in the short run. If you remember, when we introduced this transaction to you all, the initial accretion was helped a lot by the B-share scheme. It's then helped by the synergies. And then in the long term, the deal becomes hyper-accretive because you're essentially contrasting to retain Vaccine and Consumer terminal value against what would in years 7, 8, 9, 10 be a decline in Oncology business. So you've got these 3 phases of synergies. So that first phase in the first 12 months, even with the margin dilution that Simon talked about, as we described to you at the time we launched, it would be marginally accretive. But the exact effect on 2015 depends on exactly when it closes. And today, I'm only able to give you guidance that we're on track for the first half. Obviously, if it closed on December 31, then the marginally accretive statement would stand. If it closed later, it might be different and we'd give you guidance at that point. In terms of -- we're not giving you guidance today for next year. I think, though, it's pretty clear from what we've said that we expect the headwind of Respiratory pricing to continue to flow through into 2015. That clearly is a significant headwind for us to deal with. We're putting in place a number of measures not least the restructuring program to begin to offset some of that on a more permanent basis than the measures we've been able to take during the end of this year. And I think that indicates to you that we see 2015 being another tough year for us, as we adjusted that new reality in the U.S. But the good news is we've got a lot of products beginning now to pick up the slack. We get the transaction closed in the first half, which starts to give us opportunities to grow and to build up the Vaccine and Consumer business and access those synergies. And therefore, as we progress through '15 and into '16, we start to see, if you will, movement through this phase that we've had to deal with. And we see then '16 return to growth on Respiratory. We see, obviously, full year benefits then starting to kick in from the transaction. We see longer-term contribution from new products, et cetera, et cetera. So that's the way we see next year really playing out.
Operator: Next question is from the line of James Weston, Crédit Suisse.
Matthew Weston - Crédit Suisse AG, Research Division: It's Matthew Weston at Credit Suisse. Three questions, if I can. If we just contrast the first 2 quarters of Anoro in the U.S., they seem to be tracking the experience of Breo very closely with some pipeline filling and then some incremental discounts impacting the second quarter. As we work through the next few quarters of Anoro, are you confident that the revenue will exceed the performance of Breo in terms of following the same launch trajectory? And if not, how comfortable are you with the GBP 250 million consensus expectations for Anoro for next year? Secondly, on China. Now that the legal issues certainly in the domestic market are behind you, can you just give us an update of your experience in terms of physician reaction to GSK and what you're doing in that market to regroup and refocus growth? Andrew, you were very clear to point out how much you've implemented the strategy as you set it out when you took over the role of CEO, as I recall, strong Emerging Markets growth was a key element to that. And then finally, just on the difference between non-core and core earnings. Historically, GSK core versus non-core represented about 70% -- or there was a 30% difference between those 2 metrics. For this quarter, there's now a 70% difference between those 2 metrics. And even if we exclude the China fine, one is still half of the other. Can you just walk us through some of the key elements that have been excluded from core in Q3, particularly in that acquisition and accounting column which is, by far and away, the single largest adjustment what your putting through the P&L?
Andrew Philip Witty: Okay. Thanks, Matthew. And thanks in particular for the last question because I think that's a really good thing for people to hear and understand, and Simon is going to touch on it. So in China, obviously, we've just gone through the end of the case. And as you would expect, we are making sure we learn the lessons from that. We're very focused on ensuring that we do indeed learn those lessons. We have a new management team in place in China. But it's very early days, and I'm not going to go into more detail. Suffice it to say, you've seen the annualization of the effects of China no longer has the same negative drag that we've seen on the business. As far as my commitment to Emerging Markets, I think that's reflected, actually, in the very strong performance in the quarter, double-digit growth rates from the Emerging Markets. We continue to be very robust about that. And when you look at where EMs are now, more or less the same size as Europe. Whereas 5 or 6 years ago, they were under 1/3 of the size of Europe. You can see the change. Now of course, that brings with it -- nothing is easy in this world, Matthew, right. So that brings with it currency volatility, which you see some of this year. It also means you're operating in very difficult markets, and those markets can throw you curveballs from time to time. But I reiterate the fundamental reason why we're focused on Emerging Markets, of the 6 billion people who live in the world today, only about 600 million live in Europe -- Western Europe and America. And we have to be focused on building the business for the long term. But we also need to be eyes open. There are going to be challenges and it's not a one-way street in terms of just good news flowing from those markets. It would be, though, a big mistake to be put off every time any -- the weather changed in those environments. So we're very committed to that and we remain very focused on it. As far as Anoro is concerned, yes, so actually, Anoro market shares, NBRx share of Anoro for pulmonologists also just into double digits. Looks like a very similar kind of pickup. Again, I think we are increasingly looking at a scenario in the U.S. where primary care drugs are being adopted on a slower pace, but they will be adopted. We've now got excellent data out there with our sales force in terms of competitiveness of Anoro. I think we will continue to see these products build up. I'm not going to endorse or otherwise anybody else's numbers. I will absolutely restate what I've said hundreds of times before to you all, which is that, over time, the combination of all of our various Respiratory products will -- plus the legacy of what's left from Advair, Flovent and Ventolin, generate a Respiratory business which is larger in size than the business we had before this all started. And that has always been our goal. I'm as confident on that as I ever was, and we will continue to drive down that road. And I think that, that is very much a game on as far as we're concerned. And Simon to talk about the famous core to non-core.
Simon Dingemans: Yes. Thanks for the question on that. And the first point is just to remember that a lot of these charges are noncash. And in particular, obviously, amortization and impairment charges. And quite a lot of the charges that you often see in the acquisition column are noncash, and that indeed is the case this quarter. So in particular, we have 2 significant adjustments going through. The first is GBP 350 million, which is a revaluation of the contingent consideration we owe to Shionogi on dolutegravir containing products, which is a reevaluation given the outperformance that we've seen of Tivicay in the last couple of quarters. So we've reassessed that this quarter and that takes the total provision there up to GBP 1.3 billion. And then the other is a change in the treatment dictated by the IRS in relation to the U.S. industry pharma fee which led to a forward-looking treatment rather than a backward looking treatment. And so we have adjusted our current year for the IRS's required treatment. And in that adjustment column, in non-core you'll see the previous adjustment which, again, is noncash. It doesn't affect how we actually pay for the fee going forward and just really correcting the treatment for the latest guidance that we've been given. So that's obviously creating the main distortions that you've seen. There are also a number of other Novartis costs in anticipation of closing the transaction, including some hedging that we have in place to protect the cash returns that we're going to get out of that transaction. And that will fund the GBP 4 billion which we, obviously, need to make sure that we still get GBP 4 billion at the end of the transaction. So those are the main drivers and why it's jumped up this quarter. But that's the principal reason.
Andrew Philip Witty: Thanks, Simon and thanks, Matthew for asking the question because I do think it's important people do understand what's between those 2 numbers. It's particularly ironic that you end up having bad news in the cash to noncash -- sorry, core to non-core because we've increased our forecast for Tivicay. And as a result, we have to take a bigger provision. So make of that what you will, but I'm sure that's triggered off all sorts of calculations about what our real forecast is for Tivicay and therefore, what the impeded value of the ViiV business really is. That should keep everybody up all night, I would have thought.
Operator: Last question is from the line of Kerry Holford, Exane.
Kerry Holford - Crédit Suisse AG, Research Division: Two questions, please. I wonder if you can just talk a little more firstly about the targeted expense reductions you mentioned in SG&A and R&D. I'm interested to know whether there's been any change in the size of the Respiratory sales force, in particular? Just to understand what those reductions might mean for Anoro and Breo, given they're still in a very critical stage of their rollout. And then secondly, I'd be interested in your view as to why U.S. primary care drug launches are becoming so much more difficult. Do you think this is a reflection of the quality or the lack of differentiation of some of the new products being launched? Or is it pure price pressure and access? Do you actually need to be having formulary positioning discussions of payers in the U.S. much earlier than you have been in order to secure that access that you're now confident you will have in 2015? But does that mean you just need to have those conversation much earlier? Or is it simply that you're now willing to be more flexible on the rebates you can offer on some of your existing products?
Andrew Philip Witty: Thanks very much, Kerry. So as far as the expense reductions, yes, I can absolutely reassure you no change to the size of the Respiratory sales forces. In fact, no change to the size of any sales forces during this period. So I don't think you don't need to worry about that. This is -- we've identified things we believe are not going to affect the performance of the product and the cost opportunities we've taken. As far as the U.S. market is concerned, again, we've looked at the last primary care dominated launches, 2012, 2013, 2014. And we see Breo, which is the one where we have the most data of course, performs very much in the upper quartile of those launches, and these are products from all categories. So obviously, you're looking at different markets. But whether you're in diabetes, in Respiratory, cardiovascular, wherever you are, I had a very -- some of you should maybe -- it might be instructive just to look at one chart. If you look at NRx performance for Breo versus Benlysta versus the JAK inhibitor from Pfizer. And I pick those because you've got 3 products which are priority products for the 3 big companies. 2 of the 3 companies use a traditional selling model. One uses the GSK selling model. When you look at the performance of those 3, you'll see straightaway how Breo stands out from those other 2 product launches in a very positive way. So I don't see anything from that which really says there's something very special going on just vis-à-vis GSK. So what might be going on in the market? I think the first thing you've got to focus on is that if you look at the U.S. market now, the top 10 commercial plans control 86% of the marketplace. And the top 10 Part D accounts control 88% of the marketplace. So you've got a very consolidated purchase of marketplace, who are all reacting to the Affordable Care Act, and they're all reacting to continued integration and acquisition of both on a lateral and a vertical level. That's creating a lot more visibility on contracting strategies. There's a lot more information visible to payers. Secondly, you've got a scenario where in many categories, diabetes, Respiratory and many others, you've got enough competitors who are prepared to start bidding on price. Now as I mentioned, not in one of our categories and not a relevant competitor to GSK, but I've just seen this week one of the major companies advertising to new patients on a brand new drug, 12 months free vouchers. That's a pretty significant give, if you will, in terms of price. Now I think what that reflects is probably their intention to try and get people to start the product in advance of the plans covering the product which is a little bit what we've seen in the Respiratory market, that it takes a while for these things to start. So I think you've got a general shift in power toward the purchaser. It's not completely obvious to me that in primary care, degrees of differentiation make a huge difference which is a little bit of an interesting conclusion. It's not totally obvious that, that's the case. And I think we just have to take a perspective that things take a little bit longer. You have to be patient. And the results in the first 12 months may not be indicative of where you ultimately land. And that is clearly different to the specialty field, but it's -- I think that is the reality in the U.S. marketplace. Now having said all of that, I think the U.S. remains a very attractive marketplace. It still has relatively higher prices than other parts of the world. And I think in the medium to long run, these products will find their place and be adopted well. But it's not the 1990s anymore, and we have to have the right model to do that. And it's one of the reasons, much as I know, not everybody on this call agrees with us, it's one of the reasons why we think our selling model is absolutely the right way to go. And we feel very good about it. And with that, I want to thank -- I know we've run a little late. I'm really sorry, but we wanted to give as many people as possible the chance to ask questions. Thanks so much for your attention today. And obviously, the IR team is available if you want to have any follow-up. Thank you.